Operator: Good day, ladies and gentlemen, and welcome to the Life Storage Third Quarter Earnings Release Conference Call. At this time, all participants have been placed on a listen-only mode and the floor will be opened for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Alex Gress. Sir, the floor is yours.
Alex Gress: Good morning, and thank you for joining us today for our third quarter 2022 earnings conference call of Life Storage. Leading today's discussion will be Joe Saffire, Chief Executive Officer of Life Storage; and Andy Gregoire, Chief Financial Officer. Following prepared remarks, management will accept questions from registered financial analysts. As a reminder, the following discussion and answers to your questions contain forward-looking statements that are subject to risks and uncertainties and represent management estimates as of today, November 3, 2022. The company assumes no obligation to revise or update any forward-looking statements because of the changing market conditions or other circumstances after the date of this conference call. Additional information regarding these factors can be found in the company's public SEC filings. In addition to the press release distributed yesterday, we furnished our supplemental package with additional detail on our results, which may be found on the investor relations section on our website at lifestorage.com. As a reminder, during today's question-and-answer session we ask that you please limit yourself to two questions to allow time for everyone who wishes to participate. Please requeue with any follow-up questions thereafter. At this time, I’ll turn the call over to Joe.
Joseph Saffire: Thanks, Alex and good morning, everyone. I wanted to start-off first by thanking and recognizing all of our Life Storage teammates, both in Florida and throughout our company who continued the hard work to provide support to our customer's impacted by Hurricane Ian. All of our stores in Florida are open for business and that would not have been possible without the tremendous efforts from our teammates. I would also like to say how thrilled we are that Newsweek awarded us for the fifth year in a row the Best Customer Service Award in America for the storage centers category. This award is a true reflection of the world-class team we have here at Life Storage. Now turning to the quarter. I am pleased to report another outstanding quarter across all segments of our company. While we are seeing a return to more normal seasonal trends, our operating fundamentals and metrics remain very strong and higher than pre-pandemic levels. We believe we are well-positioned as we head into 2023. To highlight a few notable results and trends from the quarter, we achieved a same-store revenue growth of 14.9% for the quarter over last year. We continue to see strong and balanced revenue performance across our entire portfolio with 94% of our major markets achieving quarterly double-digit revenue growth for five quarters in a row. Our realized rental rate per square-foot this quarter was 17.1% higher than in the same quarter last year. This is also five quarters in a row of realized rental rates per square foot growth greater than 14%. Same-store NOI growth this quarter is 18.4% higher than the same quarter a year ago. That puts us at five quarters in a row with same store NOI growth of 18% or greater. As a result of the strong operating fundamentals, we achieved adjusted funds from operations of $1.73 per share for the quarter, which is 26.3% increase over last year. That also puts us at six quarters in a row with adjusted funds from operations growth greater than 25%. In regard to external growth, in the third quarter we acquired 11 wholly owned stores for $217.5 million and subsequent to quarter end we acquired seven wholly owned facilities for $142 million. We view these acquisitions as complementary to our existing portfolio and four of these properties are coming from our third party management platform. About two thirds of these properties are stabilized with the remaining in lease-up, which will provide strong upside in future years. Outside of wholly owned acquisitions, in the quarter we added to our joint venture portfolio with 15 stores for a $52.7 million investment and subsequent to the quarter end, we invested in seven stores for $25.3 million. These joint ventures enabled us to participate in top markets and quality properties that provide future upside with a moderate capital investment Including joint ventures, our third-party management portfolio surpassed 400 stores at the end of the third quarter, growing more than 12% over last year with the addition of 25 stores this quarter. We view our third party management platform as a strong strategic pillar for us that drives fee income and supports off-market acquisition opportunities. Year-to-date through October 10 of our wholly owned acquisitions and a consolidated joint venture came from our third-party management platform. As we look towards the full-year, we now estimate our adjusted funds from operations per share to increase to a midpoint of $6.44 for the year, which would be 27% growth from 2021. Andy will walk you through the quarter in more detail and our positive guidance updates. But before I hand it over to Andy, one last-time, on behalf of myself, the Board and the entire Life Storage team, I want to thank Andy for his invaluable contributions and dedication to Life Storage for nearly 25 years. We wish him all the very best in retirement, and thank him for leaving behind a strong finance team that will continue to position us for future success. And with that I'll hand it over to Andy.
Andrew Gregoire: Thanks for the kind words Joe. And thank you for everyone for the congratulatory messages I've received. It's certainly bittersweet moment and I've enjoyed my time here and my interactions with all of you. But, of course, I'm going to look-forward to retirement. As you know, joining us in the room here is Alex Gress, and I'm excited for the opportunity Alex has ahead of him and confident that Life Storage remains in good hands. I've had the chance to work closely with Alex over the last year and I will be assisting the transition through the early half of 2023. So I'm not gone yet. Now turning back to the quarter, last night we reported quarterly adjusted funds from operations of $1.73 per share for the quarter, an increase of 26.3% over the same quarter last year, and well above the high-end of our guidance. The continued quarter-over quarter increase in adjusted FFO was the result of excellent same store and acquisitions performance. Third quarter same-store revenue increased 14.9% over the third quarter of 2021, primarily driven by increasing rental rates, although we are seeing a return to more normal seasonal trends, we remain highly occupied, especially when compared to pre-pandemic levels, same-store occupancy averages 93.1% during the quarter. And for reference, our same-store occupancy averaged 90.7% for the third quarter of 2019. We continue to benefit from strong rate growth in the quarter, primarily driven by our in-place rate increased strategies that led to a significant increase of 17.1% in our achieved same store rates per square foot over the same quarter from one year-ago. As Joe noted, this is the continuation of double-digit rate growth for the last five quarters. Our existing customer rate increase strategies continue to be effective with weighted-average increases above historical norms. Same-store operating expenses grew 6.6% for the quarter versus the last year same quarter and were primarily driven by credit card fees, repairs and maintenance and utilities expense. Payroll and benefits increased less than 1% over the third quarter of 2021 at a same-store basis. The net effect of that same-store revenue and expense performance was a 214 basis point expansion in our quarterly same store net operating income margin to 72.8%, resulting in year-over-year growth in same-store NOI of 18.4% for the third quarter. Turning to the balance sheet, we supported our acquisition activity by utilizing our credit facility and issuing equity securities during the quarter. Specifically, we drew a $153 million from our credit facility and issued an additional $80.2 million of common stock via our ATM program during the quarter, at a weighted-average price of $133.11 per share. At the start of the quarter, we closed on the refinancing of our existing credit facility that was scheduled to mature in March of 2023. With the refinancing, we increased the facility from $500 million to $1.25 billion. This new facility provides committed liquidity to Life Storage through January of 2027 with terms comparable to or improved from the terms of the existing facility. At quarter end we have significant capital available with $794 million available on our credit facility. Our balance sheet remains very strong with plenty of capacity and low leverage. Our net debt to recurring EBITDA ratio is at 4.6 times at quarter-end and exactly in line with the previous quarter. Our debt service coverage is at a very healthy 5.6 times at September 30. We continue to have no significant debt maturities until April of 2024, when $175 million becomes due, our pro-forma average debt maturity is 5.8 years and our weighted average interest rate is 3.4% at quarter end. In addition, at September 30, 86% of our debt was fixed rate. We are updating our 2022 guidance. We now expect same store revenue to grow greater than our past guidance to between 14.25% and 15.25%, which will be driven by improved rental rates. This increase should result in a greater same store NOI growth that we now expect to be between 18% to 19% .The improved same store performance is expected to be partially offset with the increased cost of capital. Based on this outlook we now anticipate core FFO per share for 2022 to be between $6.42and $6.46 or 27% growth over the prior year at the midpoint. With that, operator, we will now open the call for questions.
Operator: Thank you. Ladies and gentlemen the floor is now open for questions. [Operator Instructions] And the first question this morning is coming from Michael Goldsmith from UBS. Michael, your line is live. Please go ahead.
Michael Goldsmith: Good morning. Thanks a lot for taking my question. Congrats Andy. Congratulations, Alex. My first question is on expenses. The expense growth was 6.6% during the quarter. Year-to-date, you're at 4.6%, which implies -- with your guidance, it implies an acceleration in the fourth quarter maybe between the 7% and 11% range. So I guess the question is kind of, how much is this a function of a rising expense environment? How much of this is a function of just maybe an easier or more difficult comparison on the expense side? And then how do you think you manage your expenses kind of heading into next year given you've already done a lot of great things to reduce expenses, but how much further opportunity do you have?
Andrew Gregoire: It's a good question, Michael, and thanks for the compliment. When you look at the fourth quarter, I think there is inflationary pressures and you saw that through the first three quarters. The big difference in the fourth quarter is our property taxes. In the fourth quarter of 2021, we had a great benefit on the property tax line to the tune of almost $4 million. So we have a very tough comparable. And that's what's driving the change from Q3 to Q4 and the growth in expenses. That line item just in the quarter will probably be over 20% for the fourth quarter. So that's what's driving and nicking the NOI growth in the fourth quarter, but it's a tough comparable more than anything else. Everything else, inflationary pressures, we've seen those throughout the year. We've controlled them well. Dave's team is doing a great job on the payroll line and other lines. R&M, we still have some work to do, but we're comfortable with the inflationary pressures and the controls we have in place and the technology we're investing in, the biggest thing will be the property tax line in the fourth quarter.
Michael Goldsmith: So maybe the true run rate of expenses closer to your year-to-date growth rather than kind of what's implied in the fourth quarter? .
Andrew Gregoire: Well, without the property taxes, yes. Yes, it would be very similar. NOI in the -- if we didn't have that property tax comparable in the fourth quarter, our NOI would probably grow 12% to 13%. But obviously, in the guidance, you can see it's less than that, it's from the property tax impact.
Michael Goldsmith: Got it. And then just on kind of the topic of kind of returning to seasonal trends, can we dig a little bit deeper in terms of like, how this quarter played out that was kind of similar to what a normal seasonal third quarter would look like versus what was different? Like did it started a little bit later, the cadence through the quarter and kind of how that sets up kind of like the back half or sets up the fourth quarter, I guess? And just given that last year was probably -- since there wasn't any seasonal -- there was less seasonality. The gap this year to last year is obviously going to widen. But like do we expect kind of like as we get kind of the seasonal lift early next year, that kind of like the gap over last year kind of narrows again?
Andrew Gregoire: I think the seasonality is about what we expected. When we look at the occupancy, and again, we're trying to maximize revenue, but the occupancy is trending as we thought, a little bit higher than the normal seasonality decline is what we're seeing, and that's what we forecasted. I think the surprise to the upside has been rates. I mean they really hung in well during the quarter. We had rent roll-up for 22 straight months and then coming through the quarter, we saw some deceleration where we saw rent roll down in September. In August, it was pretty flat, slightly negative. So I think rates have performed better than we thought. The acquisitions have also performed much better than we expected. Compared to our underwriting, our acquisitions are performing much better. And that's just the platforms. Once you put acquisitions on our platform and we're talking about the 2021 acquisitions, they're performing better than we expected from a rate side, from an occupancy side. So it's a combination of things that is a little different than normal seasonality trends, true, but it's been above our expectations.
Joseph Saffire: Hey, Michael. It’s Joe. I'll add that. Obviously, Andy mentioned that the occupancy declines were a little bit higher than seasonality, but that wasn't unexpected. As you know, we've been very aggressive with the rate increases this year, and we've continued that through the third quarter. And so we expected the move-outs, and we were not surprised by them. What's been very encouraging is that, demand has been there. Actually in the third quarter, our move-ins were 7% higher than last year, which was an excellent year. So we think that's going to continue through the spring season, we think demand and feel good that demand is going to be there. And we'll start the year off at an occupancy level which we feel is a good start to the year, and we'll be able to build upon that as we go through the spring season.
Michael Goldsmith: Thank you. Congrats again guys. Good luck in the fourth quarter.
Joseph Saffire: Thanks.
Andrew Gregoire: Thanks.
Operator: Thank you. Your next question is coming from Smedes Rose from Citi. Smedes, your line is live, please go ahead.
Unidentified Participant: Hey, good morning. This is Matty on for Smedes. Just had a question about the uninsured damages add back to core FFO. We're interested to know if that includes tenant reimbursement claims or if it's more related to property damage? And if any of those costs are expected to be recouped?
Andrew Gregoire: Hi, Matty. It's a combination of two items. The uninsured damage is about $2.6 million. $1 million of that was our customer insurance claims that were above our normal trends. We paid customer insurance claims every month, right? Things happen in storage, whether it's floods or fires. Those things happen every month. This hurricane was very unusual. It's the first time we had customer claims added back from a hurricane event. We weren't self-insured back in '17 when Harvey hit from customer insurance claims. The other $1.6 million is the damages from our properties that is uninsured. So it's a deductible portion of the damage that incurred. And those repairs are ongoing. All of our properties are open and going through the repairs. So we don't expect any continuing there. There is no recoupment on any of those costs though. That $2.6 million will not be recouped.
Unidentified Participant: Okay. Great. Thank you. And just on third party management, could you speak to what the pipeline is looking like? And as we think about next year, do you have a sense of what net adds could look like?
Joseph Saffire: Matty, we continue to be really pleased with our efforts of the third party management team. Our reputation is out there in the industry, we're getting looks from a lot of new potential owners. The pipeline through the fourth quarter is going to remain strong, and we're going to be opening stores and putting the Life Storage brand on several new stores through the end of the year. So we're very excited about that pipeline, and we think that's going to continue through next year.
Unidentified Participant: Great. Thank you. Congrats to Alex and Andy.
Andrew Gregoire: Thank you.
Operator: Thank you. Your next question is coming from Lucy Doikin from Bank of America. Lucy, your line is live. Please go ahead.
Lucy Doikin: Good morning. Thanks for taking my question. I was wondering if you could give an update on how demand trends have been through the end of October here. To the extent you can give some color on data points around occupancy rate. I would like to kind of hear how that trended through October.
Joseph Saffire: Sure. Yes, Lucy, the move-ins in -- same store move-ins in October were pretty much on top of last October. So those look good. Move-outs continue to be higher. So we saw -- it's pretty much a normal seasonality drop from September to October, 60 basis points in occupancy. So we ended October at 91.8%, but that's pretty typical. Rates as they typically do this time of the year trend downward, although the street rates in October were pretty much down the same level they were in September. It didn't go any further south. So we're happy with what we see there.
Lucy Doikin: Okay. Great. Thank you. And I was wondering if you could comment on how late fees bad debt trended through the quarter and if you're seeing anything, any pickup or anything different into October as well?
Andrew Gregoire: Similar to what we saw last quarter, late fees and delinquencies have returned to normal, what we saw pre-pandemic, which is not good for our customers, obviously. They're not -- their balance sheets aren't as strong as we saw in the last few years, but it is good for revenue, and actually does -- the late fees are back to normal levels year-over-year. Bad debt is about 1% of revenue. That had trended down all the way to about 0.5% of revenue during the pandemic back to pre-pandemic levels at 1%. So as long as we don't see a significant rise from where we're at, we're comfortable. It looks our customers are acting very similar to what we saw in '18 and '19.
Lucy Doikin: Okay, thanks for the color. And congrats Andy and Alex on the transition.
Andrew Gregoire: Thank you.
Operator: Thank you. Your next question is coming from Hong Liang Zhang from JP Morgan. Hong Liang, your line is live.
Hong Liang Zhang: Yes. Hey guys. First of all, congrats to both of you. I was wondering if you could talk a little bit about your continued ability to grow rents considering. It sounds like street rates have stabilized a little bit, but are still lower than where they were this year and move outs are probably expected to continue to be higher?
Andrew Gregoire: Yes. I think the street rates, you're right, have come down. But how we're growing our rents is really, it's the current customers. And what we're doing with our ECRI program. The existing customer rate increase, we've been very aggressive the whole year, we continue to be aggressive until the data tells us differently we think we can continue to increase our current customers above normal levels. So I think that's the big driver of what you're seeing in our in-place rate growth.
Hong Liang Zhang: Got it. And --
Joseph Saffire: Also just the -- we obviously monitor the supply. We don't talk too much about it because it has been muted. And I think with the rise in interest rates, and again, the cost of construction is high, and we feel pretty good about the new supply coming on. And obviously, when there's a lot of new supply, street rates get some pressure, but we don't see that happening any time too soon.
Hong Liang Zhang: Got it. So it's fair to say your ECRIs are still trending higher than historical low?
Joseph Saffire: Yes.
Hong Liang Zhang: Got it. And then if I could sneak one last one in. You've been pretty active on the acquisition market so far this year. Could you talk a little bit about what -- how you're seeing cap rates trend so far?
Joseph Saffire: Sure. Yes, we obviously hit our guidance, and we'll probably be there for the rest of the year. But we've had a very active year. We've added to some very great markets, some Class A stores, some lease up stores, some fully stabilized stores. I think if you look at the beginning of the year to what we just recently closed in Phoenix, probably the change in cap rates has been about 75 basis points to 100 basis points, which has allowed us to continue to find good deals. It's -- there's a lot of product out there. But right now, given the capital market situation, we're seeing more deals come back to market that didn't close or didn't trade. I think they'll be there in the beginning part of the year, but I think right now, most buyers are on pause.
Hong Liang Zhang: Thanks. Great quarter.
Joseph Saffire: Thank you.
Operator: Thank you. Your next question is coming from Spenser Allaway from Green Street. Spencer, your line is live. Please go ahead.
Spenser Allaway: Thank you. I believe you mentioned earlier that you guys saw a rent roll down in September. I was just hoping you guys to provide an update on what that rent roll dynamic looks like today?
Andrew Gregoire: Yes, Spenser, in the quarter, it was very slight, right? It was less than 1% roll down when you looked at the quarter as a whole, but in September, it was about 8% roll down. That's not that atypical as you get to later parts of the year. I think I went back to 2017 and in 2018, and that was maybe 4% to 5%. So it's not atypical as we go through the typical slow season of the year, but it is different than what we saw over the last 22 months, right, where we had rent roll up. So it's definitely back to more normal trends coming off of some very high rates. .
Spenser Allaway: Okay. And then you -- just maybe circling back to the ECRI comments. Are you able to provide an update on the -- or provide commentary around what the magnitude that you actually sent out maybe on average in the quarter?
Joseph Saffire: I would -- it's been consistent throughout the year, Spencer, high teens. We'll evaluate what we're going to do early in 2023. Right now, the volume of increases isn't as significant as what we do earlier on in the year. So we still feel comfortable with those high-teens. .
Spenser Allaway: Okay. Great. Thank you, guys.
Operator: Thank you. And the next question is coming from Juan Sanabria from BMO Capital Markets. Juan, your line is live, please go ahead.
Juan Sanabria: Okay, thanks you. Maybe for Joe, just on the acquisition side, do you expect to remain active? And could you just maybe help us get a sense of where the stabilized deals you would expect or are underwriting currently given the change in cost of capital today?
Joseph Saffire: Yes. I mean, we're probably on the wholly owned side going to probably not be too active for the remainder of the year, unless we start seeing cap rates continue to move higher, which I don't think will happen. I think the 5%, 5.5% range is probably the highest that a seller will be willing to trade, but we have the leverage to work with our JV partners, and we've been very active this year, close to $0.5 billion in deals with our JV partners, and we'll continue to use that option if we don't feel comfortable doing wholly-owned deals. And obviously, we're going to continue to grow our third party platform. I think a lot of buyers are probably on the sidelines through the remainder of the year, Juan. So I think we'll see where the capital markets are heading into 2023. And we'll kind of -- that will kind of dictate how active we'll be on the wholly owned front or on the JV front or obviously both.
Juan Sanabria: And you guys have been pretty acquisitive for a good stretch here. Just curious if you could give us any sense of what the quantum of benefit presumably would be for same-store revenues for next year if the pool changes?
Andrew Gregoire: Yes. Juan, I didn't do the analysis of the 2021 acquisitions that have come into the pool. I will tell you this year they have grown tremendously, better than we expected. I think even from Q2 to Q3, those -- that pool of 2021 acquisitions, the revenue just from quarter-to-quarter grew like double what our same-store grew. So that's just the power of our platforms and what they do in that first year, year and a half when we put them on the platform. So they're performing well. I would think it's going to give us a little bump. I just haven't quantified. It's tough to change. As you can see from our same store pool analysis, we showed the last three years groupings. It hasn't impacted it a whole lot. And I would think by the time they go into 2023, it's not going to be a significant increase.
Juan Sanabria: Can I sneak one more in? What's your plan on the line of credit? You've got [456] (ph) as of the quarter end. Should we think about like an unsecured raise here at some point? Or just curious on how you plan to manage that line exposure and your views on rates, I guess, as a part of that?
Andrew Gregoire: Yes. I think we're very comfortable with the flexibility we have with that line. Capital markets right now really aren't matching up. So I think we're comfortable leaving things on that line. It's a small portion of our total debt. As you can see, some 86% of our debt is fixed rate as of the end of the quarter. But we're comfortable there. At some point in the future, when the capital markets open back up, yes, we would term that out. That's typically what we do, but there's no hurry on that. We've got great flexibility and no true needs. When you look at our needs, it's really driven by acquisitions. And as Joe said, there's a pause on those now.
Joseph Saffire: Yes, we're pretty happy, Juan, with the execution of our new revolver. We kind of stuck it in there in the summer at a window when the banks were willing to lend and we've got some great terms and it provided us some great flexibility. And really, prior to doing that our line was $0.5 billion and our availability is much greater than that today because of it.
Juan Sanabria: Great. Thanks and congratulations Andy and Alex.
Andrew Gregoire: Thanks, Juan.
Operator: Thank you. Your next question is coming from Flora Tong from Evercore. Flora, your line is live. Please go ahead.
Flora Tong: Team, it's Flora from Evercore [indiscernible]. So congratulations on the great quarter and on the transition side. I guess my question is like the occupancy is trending downward sequentially year-over-year, but it's still above the ‘19 levels by roughly 240 bps. So what the level of occupancy will you start to be cautious and therefore more emotional discounts and do a bit more advertising to maintain the occupancy at a certain level?
Joseph Saffire: We're obviously very pleased with where occupancy is today. We're still above pre-pandemic levels, and we don't see a lot of new supply coming on. So we'll run promotions where it makes sense, and we can be very selective in markets and unit sizes as to where we want to build occupancy, and we'll do that as and when needed. But right now, we're very comfortable with our occupancy levels. We think it's a great spot to be heading into 2023. And I think we've learned in probably 2020, 2021 that we were almost too occupied headed into the spring leasing season. We didn't have a lot of availability. So I think the position we're in now and our occupancy levels are in a good spot heading into spring of 2023.
Flora Tong: Okay, yes. That is really helpful. Thank you so much.
Andrew Gregoire: You’re welcome.
Joseph Saffire: Thank you.
Operator: Thank you. [Operator Instructions] Next question today is coming from Ki Bin Kim from Truist. Ki Bin, your line is live, please go ahead.
Ki Bin Kim: Thanks. Good morning. Congratulations on Andy and Alex. First as a basic question. I know the average turnover in your portfolio is about 5% to 6% of your tenants turn every month. But a lot of times that turns the same space month-to-month. So when you look at it from a full year perspective, like how much of your portfolio actually turns?
Andrew Gregoire: I think it's -- you're right, some of those are -- so it's probably about, if you look at, 3% a month is about the average true turn. So if you look at that, it's somewhere about 36% of the portfolio changes over.
Ki Bin Kim: Okay. And when you think about the ECRI program, I think you mentioned that the rate, the magnitude of the increase is still the mid-teens or high-teens. But when you look at it going into next year, what are some of your high-level thoughts on your ability to keep that program the same? Or given what's happening with street rates and occupancy, how are you thinking about altering that program?
Joseph Saffire: The beauty of the program, Ki Bin, it's something that I don't have to -- we don't have to make a decision today. It's something we look at each month, each week, if we have to. And there's a lot of data that's going to come in over the next couple of months with regards to the economy and the Fed and consumer balance sheets, demand. So it allows us a great flexibility to be very reactive and make smart decisions, and that's what we'll do. I think we're going to be in a good spot. I think we'll be in a position to do ECRIs at a level higher than what we used to do pre-pandemic. Will it be as good as this year? I'm not sure. We'll decide probably early January, February and when the letters start going up.
Ki Bin Kim: Okay. And your same-store revenue growth has, I mean, it's outstanding, but it is decelerating, which is not a surprise, it's probably decelerating about four points over the past couple of quarters each quarter and your fourth quarter implied guidance calls for about 10%. And maybe we can say that's conservative, so maybe it's a little bit higher than that by the time we end the year, but this four point deceleration, is that realistic to think about that going into '23 as well?
Andrew Gregoire: I think we're not guiding to '23 yet, and it would be tough to say. I think we're going to start the year in a good spot. Like you say, if we end the year at 10%, we're starting January close to that. So I think we started the year at a strong spot. How it flows through the year will depend on the ECRIs. They are driving a lot of that revenue growth, as Joe said. We haven't made that decision yet. Will it be somewhere between pre-pandemic and what we've done in the last year? Maybe. We'll have to see. We'll watch the attrition rate of those ECRIs. That will be the driver. We do -- we'll have a little bit of occupancy, right? We'll have a little bit of potential more occupancy as we go into the next busy season than we had this year. So maybe there's a combination there, but it's tough to tell right now as we say, make those decisions as we see the data going through the next few months.
Ki Bin Kim: Okay. Thank you, guys.
Joseph Saffire: Thanks, Ki Bin.
Operator: Thank you. And this does conclude the Q&A session for today's call. I would now like to turn the floor back to Joe Saffire for closing remarks.
Joseph Saffire: I want to just thank everybody for joining today's call. We look forward to seeing many of you in a couple of weeks in San Francisco.
Operator: Thank you. Ladies and gentlemen this does conclude today's conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.